Operator: Good day, ladies and gentlemen, and welcome to the Summit Hotel Properties’ Q4 2016 Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct the question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, today’s conference call is being recorded. I would now like to turn the conference over to Adam Wudel, Vice President of Finance. Please go ahead.
Adam Wudel: Thank you and good morning. I’m joined today by Summit Hotel Properties’ Chairman, President and Chief Executive Officer, Dan Hansen; and Executive Vice President and Chief Financial Officer, Greg Dowell. Please note that many of our comments today are considered forward-looking statements as defined by federal securities laws. These statements are subject to risks and uncertainties, both known and unknown, as described in our 2016 Form 10-K and other SEC filings. Forward-looking statements that we make today are effective only as of today, February 24, 2017, and we undertake no duty to update them later. You can find copies of our SEC filings and earnings release, which contain reconciliations to non-GAAP financial measures referenced on this call on our website at www.shpreit.com. Please welcome Summit Hotel Properties’ Chairman, President and Chief Executive Officer, Dan Hansen.
Dan Hansen: Thanks, Adam. And thank you all for joining us today for our fourth quarter and full year 2016 earnings conference call. We are very pleased with the strong top and bottom-line results that our portfolio delivered in 2016 and take great pride in the progress of our capital recycling initiative. For the full year 2016, we reported adjusted FFO of $123.8 million, which is a 14% increase, and our AFFO per share increased 13.1% to a $1.41 per share over the prior year. On a pro forma basis, we posted RevPAR growth of 3.8% for the year, which was at the midpoint of our outlook and as reminder, was on top of 7.3% growth in 2015. Our pro forma RevPAR growth for 2016 was 4.6% when excluding the eight hotels currently under contract for sale with ARC Hospitality and after adjusting for $2.1 million of renovation displacement across our portfolio. For the fourth quarter 2016, we reported AFFO of $26.7 million, 12.8% above the fourth quarter of 2015. Our AFFO of $0.30 per share represents a 10.5% growth compared to the same period in 2015. On a pro forma basis, we reported RevPAR growth of 1% for the quarter. Our same-store RevPAR growth for the quarter was 0.3% compared to the fourth quarter of 2015. 2016 capped off five consecutive years of Summit exceeding the Smith Travel Research Upscale RevPAR growth rate, and we’ve done so by an average of nearly 200 basis points. The strength in RevPAR – across our portfolio continues to be broad-based, I’d like to take a moment to touch on a couple of our largest outperformance. One of our strongest markets in 2016 was the Portland MSA where we own two hotels that contribute approximately 3.5% to our total portfolio EBITDA. Combined, these two hotels posted 13.2% RevPAR growth in 2016 as they benefited from recent renovations and the continuation of a favorable supply and demand dynamic. Next, our four Nashville hotels continue to be portfolio leaders having delivered RevPAR growth of 10.7% as a group and outperformed the overall Nashville MSA by a 270 basis points. Our Marriott Courtyard in Nashville near Vanderbilt, which we acquired in early 2016, continued to perform exceptionally well having posted RevPAR growth of 11.9% and hotel EBITDA margin expansion of more than 230 basis points to nearly 50% during 2016. Moving on to acquisitions, in 2016, we purchased four hotels with a total of 749 guestrooms for an aggregate purchase price of $244.2 million. These institutional quality hotels as a group generated RevPAR of $156, and with their efficient operating models, were able to deliver a remarkable hotel EBITDA margin of 44.9% for the year ended 2016. Their success demonstrates the quality and experience in many of today’s premium select-service hotels rivals that of many hotels historically at higher tiers. We continue to make great progress in our capital recycling initiatives during 2016 as we complete the sale of 10 hotels that generated gross proceeds of $147.3 million, eight of which were part of the transaction with ARC Hospitality. Subsequent to year end, we entered into an agreement to extend the scheduled closing date on the remaining hotels under contract from December 30, 2016 to April 27, 2017 to allow them the necessary time to close on their $400 million convertible preferred investment commitment from the affiliate of Brookfield Asset Management. Since the transaction to sell 26 hotels was announced in June 2015, 18 of the 26 hotels have been sold and the remaining eight hotels are scheduled to be sold in the second quarter of 2017. To date, all net proceeds from dispositions over the last two years have been fully redeployed into high-quality premium branded hotels that we believe are well-positioned to create long-term shareholder value. During 2016, we invested $42.4 million into our portfolio on items ranging from common space improvements to complete guestroom renovations including furniture, soft goods, guest bathrooms, lobby upgrades, and technology enhancements. Our asset management team continued their relentless efforts in finding unique ways to create value. For example, in late 2016, we capitalized on an opportunity to increase the guestroom count at our Hyatt House in Miami. Seven additional guestrooms were created by converting six two-bedroom suites into six one-bedroom suites and six standalone queen guestrooms. The seventh guestroom was added to inventory by converting an existing fitness center into a guestroom and repurposing a vacant outbuilding into a newly-renovated fitness center. The total cost to complete the seven additional guestrooms was $700,000 or $99,000 per key, and we expect the incremental investment to generate a cash-on-cash return of 21.3% in the first year. Over the last five years, we’ve invested over $200 million into our portfolio, and the 81 hotels that we own today have an effective age of approximately 3.4 years, which demonstrates our commitment to maintaining a high-quality portfolio where guests want to stay. With that, I’ll turn the call over to Greg Dowell, our CFO.
Greg Dowell: Thanks, Danny, and good morning, everyone. We were very pleased with our fourth quarter and full year 2016 results. Focusing first on the full year, on a pro forma basis, our hotel EBITDA in 2016 increased to $184.4 million, which was an increase of 8% over the same period in 2015. One of the many operational highlights for the year was that our pro forma hotel EBITDA margin expanded by 93 basis points to an all-time high of 38% in 2016. At the gross operating profit level, pro forma margin expansion by 48 basis points, and the remaining margin expansion was realized through fixed expense cost control measures. Our adjusted EBITDA grew to $166.5 million, an increase of 8.4% over the prior year. For the fourth quarter 2016, our pro forma hotel EBITDA increased to $39.8 million, which was an increase of 2.9% over the same period of 2015. Pro forma hotel EBITDA margin expanded by 79 basis points to a healthy 35.7%. During the fourth quarter, adjusted EBITDA grew to $36.1 million, an increase of 7.4% over the same period of 2015. Moving on to our balance sheet, throughout 2016, we continue to strengthen our balance sheet by reducing our leverage, staggering our debt maturities, and improving our cost of financing. During the year, we closed on a new upsized $450 million unsecured credit facility with an improved pricing grid, as well as retired four loans totaling $41.1 million with an average interest rate of 5.8% and incurred no prepayment penalties while doing so. At December 31, 2016, we had total outstanding debt of $657.6 million with a weighted average interest rate of 3.69%, which is 21 basis points less than the 3.9% weighted average interest rate we reported at year-end 2015. We ended 2016 with net debt to trailing 12-month adjusted EBITDA at 3.7 times, which is at the low end of our stated 3.5 to 4.5 times and down from what was 4.2 times at the end of 2015. Our reduction in leverage is primarily the result of continued strong performance by our portfolio and the 6.2 million shares issued under our ATM program that generated net proceeds of $89.1 million during the fourth quarter of 2016. During the fourth quarter, we paid $50.7 million to redeem all 2 million shares of our issued and outstanding 9.25% Series A cumulative redeemable preferred stock. The redemption was funded using a portion of the net proceeds from our 6.45% Series D Cumulative redeemable preferred stock issuance in June of 2016. We now only have less than 2.2% of our total debt maturing during the next two years. As of February 15, we had total net debt to trailing 12-month adjusted EBITDA of 3.6 times, and total outstanding debt of approximately $641.2 million with a weighted average interest rate of 3.72%. Turning to guidance for 2017, in our release, you will see that we provided full year 2017 guidance for AFFO of $125.6 million to $133.1 million or a $1.34 to $1.42 per share, and RevPAR growth of 0.5% to 2.5% for both our pro forma in same-store portfolios. For the first quarter 2017, we provided AFFO guidance of $0.29 to $0.31 per share, pro forma RevPAR growth of 0% to 2%, and same-store RevPAR growth of negative 0.5% to positive 1.5%. Metrics supporting our guidance are provided in our release. We have incorporated capital improvements of $35 million to $45 million, which includes both renovation and recurring capital expenditures. Our adjusted FFO guidance for 2017 assumes the sale of the Courtyard El Paso for $11 million in the first quarter, the sale of the remaining seven ARC Hospitality hotels for $66.8 million, and the acquisition of a 129-guestroom hotel for $38 million, both in the second quarter. No additional acquisitions, dispositions, equity raises, or debt transactions beyond those previously mentioned are assumed in the first quarter or full year 2017 guidance. With that, I’ll turn the call back over to Dan.
Dan Hansen: Thanks, Greg. In summary, we are thrilled with the performance of our portfolio and the continued successful execution by our team and look forward to the year ahead. And with that, we’ll open the call to your questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Austin Wurschmidt of KeyBanc Capital Markets. Your line is now open.
Austin Wurschmidt: Hi, good morning. Thanks for taking the question. Just digging into guidance a little bit, you mentioned, Dan, that RevPAR has outperformed the upscale segment for the past five years, and the midpoint of the pro forma RevPAR guidance this year suggests additional outperformance but albeit modest. So I guess I am just curious what you’re expecting to change in 2017 versus these past five years.
Dan Hansen: Thanks, Austin. It’s Dan. I don’t know that anything is fundamentally changed the lack of visibility continues to be the main challenge and having forecast outside of normal expectations. So I think it’s more of a lack of visibility then a lack of confidence in our portfolio.
Austin Wurschmidt: That’s helpful. And then additional, I guess further into guidance. You’ve got a portion of the proceeds from the ARCH transaction being reinvested. Just curious what you’re assuming that the balance of those proceeds are used for. And then as you sit here today with the balance sheet deleveraged a little bit further, what’s your appetite for additional acquisitions and with the available drag out?
Dan Hansen: I think at this point our expectation based on how we provided guidance would be capacity of an additional $100 million of acquisitions. If ARC Hospitality gets to the finish line, that will give us a little bit more capacity, but that’s how we would see it.
Austin Wurschmidt: Thanks. And then just lastly, just curious about – this is the first time we’ve really seen you guys use the ATM and just curious what your thoughts are on using that going forward.
Greg Dowell: Yes. Austin, this is Greg. During the quarter we had the opportunity to raise $90 million under the ATM. The proceeds were used essentially to match funds to the Marriott Boulder and Hyatt Place acquisitions on a leverage neutral basis. We’ve had the program in place for three years and had not used it, but this was just the right time to use it, it’s a good tool, but we still have as Dan just mentioned capital recycling yet to do. So it was a good tool for when we used it, we would not say we wouldn’t use it in the future, but it’s really a good tool for what we needed to match on those two assets.
Austin Wurschmidt: Great. Thanks for taking the questions.
Dan Hansen: Thanks, Austin.
Operator: Thank you. And our next question comes from Michael Bellisario of Baird. Your line is now open.
Michael Bellisario: Good morning, guys.
Dan Hansen: Good morning.
Greg Dowell: Good morning.
Michael Bellisario: Just following up on that, it looks like the market has given you guys a pretty bright green light on the external growth front. What do you think needs to be done to maintain your cost of capital advantage on a go-forward basis?
Dan Hansen: That’s a great question, Mike. This is Dan. I think continuing to execute and be true to our underwriting, when we buy hotels we clearly underwrite them based where we are in the cycle and that – at this point includes very conservative RevPAR assumptions and a clear understanding of the supply and the potential effects. The key really is understanding what value creation opportunities we can employ to grow the returns and many times through asset management, sometimes it’s capital investment or there’s a multitude of other value drivers. So absent the demand shop, we feel very confident our process and opportunities that will be able to continue to create value for shareholders and the capital recycling is proven itself out as well. So to us, we are very focused on continuing to successfully execute our strategy.
Michael Bellisario: Got it. And then how, if it all, are you thinking about acquisitions differently today versus 90 days ago? I know you mentioned your underwriting hasn’t changed, but I guess the velocity of the deploying that capital specifically and how has the pipeline changed today, too, maybe versus pre-election.
Dan Hansen: Yes, another good question. I think in 2016 our pipeline was clearly not as robust as it had been in previous years. As we turn the page to a new calendar year, we are starting to see some increased activity and we’re focused on identifying those hidden gems that provide strong ongoing yields and a value creation opportunity will always continue to be proactive with brokers and work directly with owners and developers to be their first call, or if a deal falls apart the first one they go back to. So I think the pace we’ve expect to be consistent with what you’ve seen over the last several years.
Michael Bellisario: Got it. And just one more for me on the margin front. What is implied in your 2017 guidance for year-over-year change? And then labor specifically, are you seeing any increased employee turnover at your properties from people who may have picked up and move in down the block to a new hotel that’s opening?
Dan Hansen: On a go forward basis, we do have some little bit of headwinds. We’d expect EBITDA margin to be essentially flat maybe some contraction the first half of the year and expansion the second half of the year. That’s really just based on the best information we have today. We do expect property taxes to increase about 15%, which will adversely affect the margins in 2017 by about 50 basis points. And those property tax headwinds are primarily related to new assessments at the most recent high quality acquisitions all of which we are in our underwriting. So our margin expansion for 2017 would be more like 25 basis points to 75 basis points when normalizing for the property taxes. As far as labor cost that’s always a challenge. We want to maintain competitive in the marketplace and make sure we have minimize turnover because turnover can be expensive as well. But at this point we don’t foresee turnover as being a major headwind.
Michael Bellisario: Thank you very much.
Operator: Thank you. And our next question comes from Ryan Meliker of Canaccord. Your line is now open.
Ryan Meliker: Hey, good morning, guys. Thanks for taking my question. Just to piggyback off what Michael was asking with regards to margins. You guys were at 38% margins for the year on a pro forma basis, which obviously is a pretty high level. You just talked about the potential for maybe some upside to margin in 2017. You guys obviously have done a great job in terms of cost controls. Is there anything left or are we kind of at peak margins where the only way you are going to get margins really to drive higher is to see a material rate increase?
Dan Hansen: Ryan, it’s Dan. That’s a fair point. It is going to be harder to move margins at lower RevPAR. So I think the driver of margins clearly has to be with strong rate and greater flow through. And that is going to be a function of total RevPAR. So I think it’s a fair point. It does get much more difficult as you get closer to the end of the cycle.
Ryan Meliker: So I guess as we think about the latter portion of this cycle, we shouldn’t really build in any material margin expansion unless we think we’re going to see a pretty robust RevPAR growth environment. Is that a fair assessment?
Dan Hansen: I think that’s fair.
Ryan Meliker: All right. And how about on the downside the margins, do you feel like you’re at peak levels now, where it’s going to be even harder just because flow through is at 45% or 50% flow through, you can really move margins that much. And therefore you do see cost rising there’s more downside risk than upside risk margins. I just want to get an understanding of where you think they might go over the next few years.
Dan Hansen: Yes. I think if you had to put a band around it, obviously when you get down to 2% or less RevPAR. You do have potential contraction of margin. So I think 2% is probably a good benchmark to base contraction expansion around for portfolio like ours.
Ryan Meliker: That’s helpful. And then I guess shifting to markets, are there any markets that you guys are in that really stand out as being big outperformers or big underperformers in 2017?
Dan Hansen: Sure. I think we’d expect continued strength in Portland, Minneapolis, in 2017 we are forecasting a stronger year in Baltimore. On the flipside, we’d expect Houston and Louisville to lag a little bit, but remember we’ve got a very broad diversification. So there’s always a good balance there.
Ryan Meliker: Great. That’s helpful. That’s it for me. Thanks, guys.
Dan Hansen: Thanks, Ryan.
Operator: Thank you. And our next question comes from Chris Woronka of Deutsche Bank. Your line is now open.
Chris Woronka: Hey, good morning, guys. Dan, you have with the ARC closings incorporated into the guys. I mean do you have any more incremental confidence that they close kind of relative to last year’s guidance or is it roughly the same?
Dan Hansen: This is Dan. They’ve got a strong equity partner, which is new, but there’s still some work to be done with lender consents, which is not always as timely as you’d hoped. So at this point, we’re optimistic, but acknowledged there still a lot of work to do to get to the finish line.
Chris Woronka: Okay, fair enough. And then on the acquisition you mentioned is that going to be more of a in-place stabilize kind of thing or more of a value-add turnaround story?
Dan Hansen: I look at it more as a stabilized asset. Our underwriting on a forward basis is comparable to the other hotels we purchased and we do expect to make an announcement in the next coming weeks with the details. So I think it would be fair to assume a typical premium branded institutional quality assets in the market with the strong demand generators.
Chris Woronka: Okay. And then just kind of thinking about brand standards and distribution, how do you see 2017 unfolding in terms of where the brands are moving now that Hilton is totally free of real estate and Marriott Starwood are moving through the integration process, do you see big changes on those fronts?
Dan Hansen: I wouldn’t say I do expect any big changes at this point. I think it would be fair to assume they’re going to be focused on trying to ensure there’s some differentiation between the brands and that’s where good communications and partnerships way into make smart decisions on how to define your brands. But I don’t see anything significant on the horizon.
Chris Woronka: Okay, very good. Thanks, Dan.
Dan Hansen: Thanks, Chris.
Operator: Thank you. And our next question comes from Shaun Kelley of Bank of America. Your line is now open.
Shaun Kelley: Hey, good morning, guys. Dan, I want to go back to I think the sort of the first question that was asked, and I guess when we look at your very strong performance in 2016, and congratulations on that, you know we compare that to the you guys mentioned I think about roughly 200 basis points of outperformance for the upscale category over I think a number of years. As we think about kind of going forward, is there anything in 2017 that is plus or minus for the kind of current portfolio that would make you either potentially outperform what you think the chain scale would do or in a different case, underperform whether it’s geography or renovation activity, just kind of trying to think about the guidance.
Dan Hansen: It’s a fair way to think about it Shaun. This is Dan. I don’t think there’s anything from a geographical standpoint that would create a strong outperformance or underperformance as I said earlier the diversification typically balances that out. I would say our performance has partially to do with that diversification, but partially has to do with the great asset management and Greg and his team making sure that we can extract every dollar available, but also some of the capital investments that we made in our properties. If you look over the last several years spending $40 million to $45 million a year to make sure that properties are in great shape that can compete very nicely has given us the continual strategy of outperforming coming out of – off of renovations. So I think there is a multitude of factors that has allowed us to do that. It gets really tough to do that every year, so we’re very proud of that but it’s also hard to underwrite or forecast that outperformance due to the lack of visibility. Does that answer your question?
Shaun Kelley: Yes, no, it does. It’s helpful. And then I guess the second area is, it’s a lot harder to track weighted average supply growth for your pretty diverse portfolio versus what we see in some of the big cities. So what’s kind of your view on for some it’s portfolio, specifically weighted average supply growth across your markets, and how does that compare to the industry overall?
Dan Hansen: Sure. If you look at our portfolio of hotels weighted by average number of guestrooms would probably between 3.5% and 4% of new supply. If you took out like Boston and Nashville and a couple other markets, the remaining portfolio would be in line with the industry average of 2%, which is manageable. So a great amount supply or additional room supply is focused in those markets. So you take out four markets you still have almost 20 that are at a reasonable and manageable supply levels.
Shaun Kelley: Is that meaningfully different? I mean, a year ago, would that number have been as high? It sounds a little higher and I know we’ve seen – we do track Nashville. There’s a lot going on in that market specifically, but where do you think that number would have compared to a year ago?
Dan Hansen: It’s hotter than it was a year ago partially because of where we’ve acquired hotels. We have acquired hotels in some markets that have outsized supply growth. And we’ve acquired them at yields to offset the competition from that new supply. So we’re not uncomfortable with the acquisitions, but clearly if you buy a hotel in Nashville, the amount of new supply on a weighted basis in your portfolio is going to go upside. I think that has driven it more than actual new supply in the majority of our markets.
Shaun Kelley: Okay. That’s helpful. And then you mentioned four markets, Austin and Nashville. What were the other two?
Dan Hansen: As far as.
Shaun Kelley: You said four markets were sort of outsized supply markets.
Dan Hansen: Boulder is a market that has some outsized growth in it.
Shaun Kelley: Okay.
Dan Hansen: Market that has incredibly high various density, so behind the couple hotels that are being developed this year, there’s probably four or five years before anything else is going to get built. And then in Nashville where we have the Indigo downtown urban asset, there is projected to be some supply there as well.
Shaun Kelley: Last thing, when you count supply, are you counting like are you counting like this is all hotels or just things that are in your chain scale or in your comp set. Is it going to include a lot of full-service rooms in some of these markets?
Dan Hansen: Yes. That’s a great point. This is just looking at all supply. We could bifurcate it more and create a more manageable number, but in some of these markets, we are actually competing very nicely with some of the other upscale, so we can’t just ignore that as new supply as well.
Shaun Kelley: Okay. Really appreciate all the color. Thanks, guys.
Dan Hansen: Thanks, Shaun.
Operator: Thank you. And our next question comes from Tyler Batory of Janney Capital Markets. Your line is now open.
Tyler Batory: Thanks. Good morning, everyone. Question on the capital recycling excluding ARC. Do you think you are going to be pretty balanced in 2017 or could you end up being perhaps a net seller?
Dan Hansen: This is Dan. I don’t know that we look at it and as at this point, especially early in the year where we could categorize being a net seller. We do have and continue to have strong interest in hotels across the Board with local owner operators, but I would say at this point I would say more balanced and net buyer but again, it’s early in the year.
Tyler Batory: Okay, great. Thank you. And a question for you on corporate travel, how would you characterize that segment right now? Have things been pretty stable since the election? And then where did corporate travel come in for the fourth quarter compared with your expectations?
Dan Hansen: Fourth quarter was a little softer than expected. We did see that softness in the business transient demand growth last year as the year progressed it did continue into the fall and haven’t yet seen any fundamental change that would give us indication that we could forecast anything different. So with all that said, although corporate transient room nights were down during 2016, room revenue was actually up 1.4% in the segment as we were very aggressive with our rates. So the transient or retail component of our guest mix makes up about 27%. We’d expect this level to continue through 2017.
Tyler Batory: Okay, that’s great. That’s all for me. Thanks.
Dan Hansen: Thanks, Tyler.
Operator: Thank you. And our next question comes from Wes Golladay from RBC Capital Markets. Your line is now open.
Wes Golladay: Hey, good morning, guys. Sticking with the acquisition strategy and sometimes buy and supplied, are you doing that and then acquisition you have teed up? Is it going to be a new market for you? Is it going to be a high-supply high-yielding asset? How should we look at it?
Dan Hansen: We expect to make up a formal announcement the next couple weeks, but I would look at it as a high supply market, just your typical right down the middle of the fairway asset that we’ve been successful with for the last several years.
Wes Golladay: Okay. And then looking at the CapEx plans for about $40 million this year, any room additions in that?
Adam Wudel: Wes, this is Adam. There are not any room additions contemplated in that $35 million to $45 million number.
Wes Golladay: Okay, and then on the cost structure, on the – you talked about margin expansion. Are you doing anything with management contracts? Is there anything baked into guidance for that on the margin side?
Adam Wudel: Not at this time. Our management contracts come up for renewal from time to time, and we evaluate them based on size, revenue, and partnership but at this point nothing to announce.
Wes Golladay: Okay. Thanks a lot, guys.
Adam Wudel: Thanks, Wes.
Operator: Thank you. [Operator Instruction] And our next question comes from Bill Crow of Raymond James. Your line is now open.
Bill Crow: Good morning. Dan, if I could follow-up on Shaun’s question on supply, you talked about four markets heavy this year. As you think about the other 20 markets, how are they trending as you look forward to say 2018, how big an increase are you looking at?
Dan Hansen: I’d expect us to be in line or slightly lower than the national average. We’ve tried to be very thoughtful and deliberate about which assets we own and which ones we sell, and we’ve recycled capital out to market that we felt had some future slide supply. We don’t see a lot in the construction pipeline beyond that that we mentioned and construction cost and financing continue to be a challenge. So we think it’s very manageable, but on balance with the remaining markets we feel like we are very well insulated from new supply affecting our ability to drive results.
Bill Crow: Are there any busted development deals that you guys might get involved with?
Dan Hansen: Yes. I think we’re always looking for opportunities to acquire great assets either close to construction or recently out of construction. We think that new premium select service model stabilizes well and quickly and draws a lot of demand not just from select service hotels, but also for full-service hotels. So yes, we’re looking at a lot of different opportunities to grow the portfolio with high-quality assets but that said it’s a great question.
Bill Crow: Dan, finally from me, any bigger portfolios out there that we might not be aware of that you might be kicking the tires on trying to use your cost of capital to expand your portfolio size quicker?
Dan Hansen: The larger portfolios out there really just our majority of them are of a quality that really is an accretive to our portfolio. We’ve always been cautious about buying a portfolio. You tend to always end up with the few assets that are either not core or not strategic and those might be the ones that are most difficult to sell. So while I would never say we would never look at a large portfolio. We’re not looking at a large portfolio in total right now, and but would prefer and have had great success in the one-offs and the small portfolios.
Bill Crow: Great. That’s it for me. Thank you.
Dan Hansen: Thanks, Bill.
Operator: Thank you. That concludes our question-and-answer session for today. I’d like to turn the conference back over to Mr. Dan Hansen for any closing remarks.
Dan Hansen: Thank you all for joining us today. We do continue to see great opportunities for value creation through thoughtful capital allocation in premium select-service hotels that today’s guests love. Our renovated properties and operational expertise continue to deliver strong results and we are really looking forward to 2017 and beyond. Have a great day and look forward to talking to you again next quarter.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program. You may all disconnect. Have a great day, everyone.